Operator: Thank you for standing by and welcome to MaxCyte's Fourth Quarter Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speakers' presentation, there will be a question-and-answer session. [Operator Instructions]. As a reminder, today's program is being recorded. And now I'd like to introduce your host for today's program, Erik Abdo, Investor Relations. Please go ahead.
Erik Abdo: Good afternoon, everyone. Thank you for participating in today's conference call. Joining me on the call for MaxCyte, we have Maher Masoud, President and Chief Executive Officer; and Doug Swirsky, Chief Financial Officer. Earlier today, MaxCyte released financial results for the fourth quarter and full year ended December 31, 2024. A copy of the press release is available on the company's website. Before we begin, I need to read the following statement. Statements or comments made during this call may be forward-looking statements within the meaning of federal securities laws. Any statements contained in this call that relate to expectations or predictions of future events, results or performance are forward-looking statements. Actual results may differ materially from those expressed or implied in any forward-looking statements due to a variety of factors, which are discussed in detail in our SEC filings. Except as required by applicable law, the company has no obligation to publicly update any forward-looking statements, whether because of new information, future events or otherwise. And with that, I'll turn the call over to Maher.
Maher Masoud: Thank you, Erik. Good afternoon, everyone, and thank you for joining MaxCyte's fourth quarter and full year 2024 earnings call. 2024 has been a strong year for MaxCyte. Highlighted by our return to core revenue growth, strategic improvements to our team and operations, and the support of CASGEVY launch, the first approved non-viral cell therapy with our premier electroporation platform. Throughout the year, our team has worked diligently to assess ways in which the company can continually improve. We evaluated and implemented new strategic initiatives and process improvements, which streamlined our organization by increasing capital and operational efficiency. We invested prudently within organic areas of the company that we believe promise the best return and will contribute to long-term growth while reducing spend in redundant or non-core areas. We also announced the acquisition of SeQure Dx early this year, which I am incredibly excited about and will touch upon in a moment. Overall, I believe that the thoughtful and strategic changes at MaxCyte throughout 2024 enabled us to grow core revenue in a difficult environment and position us well for 2025. Now we'll start by discussing our recent acquisition of SeQure Dx. When we look at the evolving cell and gene therapy field, safety is becoming increasingly paramount to therapy, which is exactly where SeQure Dx fits. SeQure Dx is a services platform that provides a safety assessment of cell and gene therapy development early in the discovery process. With SeQure Dx now integrated to MaxCyte, we can offer customers a comprehensive suite of assays that provide on and off target gene editing assessments that are applicable across a variety of viral and non-viral gene editing modalities. Our three assays; screening, nomination and confirmation are each utilized at different stages in development for both ex vivo and in vivo therapy, beginning in the discovery stage and through preclinical development and IND-enabling studies. Not only does off target editing profiling of programs improve the safety profile of therapies, but it also decreases time to clinic, unexpected costs and potential delays, ultimately increasing the likelihood of program success. We see significant opportunities with SeQure Dx in our portfolio, as MaxCyte can now support both ex vivo and in vivo cell and gene therapy developers. The acquisition has immediate cross-selling opportunities, with MaxCyte now able to work with customers earlier in discovery and able to offer SeQure Dx services to MaxCyte's existing customers as well. We are already seeing the benefits of adding SeQure Dx to our product portfolio and have had great success integrating their team into MaxCyte. We believe this acquisition is an important step forward in positioning MaxCyte to become a premier end-to-end cell and gene engineering platform, with the ability to provide a range of offerings and services throughout the entirety of development. Turning to our results, MaxCyte reported 38.6 million of total revenue for full year 2024, which included core business revenue of 32.5 million, at the high end of our pre-announced range provided in January. We were pleased with our team's commercial execution over the course of the year, through a stable but challenging environment. We grew our instrument installed base to 760 compared to an installed base of 683 at the end of 2023. Instrument revenue for the year was 7.1 million, which was impacted by a continuation of customer caution on capital expenditure. Though the operating environment remains challenging for our customers, we saw stability through 2024 and have seen some areas of improvement, including PA sales, which we reported very healthy revenue growth of 36% compared to 2023. As we head into 2025, we remain cautiously optimistic that the funding environment for our customers will improve in 2025. Overall, we continue to be impressed by the evolution of cell therapy towards new editing technology and new indications, and believe MaxCyte is extremely well positioned within the industry. Customers continue to see the value in MaxCyte's offering, leading to an expansion of our SPL portfolio at a record rate in 2024, with six new SPLs signed throughout the year. As of the end of 2024, we had a total of 28 active SPL customers, which includes 18 active clinical programs and one commercial program. Previously, we have discussed the total pre-commercial milestone potential across our SPL agreements as being greater than $2 billion. As this metric includes both existing SPL programs currently in clinical development and future SPL programs that are encompassed in our SPL agreements, we thought it would be very helpful to provide a new metric on the potential value creation from the existing active SPL programs currently in clinical development under our SPL agreements. Of the 18 active clinical programs under our SPL agreements, the total pre-commercial milestone potential is greater than 220 million, including about 10 million of milestone revenue that has already been received. These 18 programs have cleared IND or equivalent, and range from Phase 1 trials to programs entering pivotal trials this year. We see tremendous value potential for these programs over time. To further highlight the tremendous potential of our SPL portfolio, at the time of our IPO in late 2021, we were enabling 12 active clinical programs. And now with 18 active clinical programs, this represents a 50% growth in the number of active clinical programs we enabled, while the overall market for non-viral clinical programs has grown 25% during the same time period. We are continuing to strengthen our SPL portfolio. We recently signed our first SPL of 2025, TG Therapeutics in February, who entered into an agreement with Precision Biosciences to acquire a license to Azer-Cel. Following the addition of TG, we now have 29 active SPL customers. TG Therapeutics is a commercial biopharmaceutical company focused on novel treatments for B-cell diseases and is currently advancing towards a Phase 1 clinical trial for Azer-Cel and progressive forms of MS. Our SPL pipeline is very healthy as we enter 2025, and we believe we will continue to sign new SPLs at our historical rate of three to five new agreements this year. The opportunity in the cell and gene therapy industry continues to grow, which supports MaxCyte's opportunity to expand its SPL portfolio. We believe there are approximately 201 cell and gene therapy biotechnology companies as of the end of 2024, of which there exist approximately 83 non-viral cell and gene therapy biotechs that MaxCyte's potential to sign an SPL with. This SPL opportunity has grown over 50% since the time of our IPO and signifies a tremendous potential for non-viral cell therapies to help patients. We have capitalized on the growing SPL opportunity since the time of our IPO by more than doubling our SPL portfolio over this period. We finished the year with approximately 6.1 million in SPL program-related revenue, ahead of our initial guidance provided a year ago. Several programs supported by MaxCyte's platform progressed through the clinic in 2024 and achieved new milestones. A small amount of SPL program-related revenue in 2024 was from commercial royalty revenue related to CASGEVY following completion of patient doses. We remain excited about the opportunity of CASGEVY and strongly believe in its potential to benefit patients around the world. During Vertex's fourth quarter earnings call in February, the company reported that there are now approximately 50 patients who have completed cell collection, up from approximately 30 patients noted on their third quarter earnings call. We are pleased by the continued momentum in CASGEVY and expansion of access globally. To highlight, Vertex secured regulatory approvals in Bahrain, Kingdom of Saudi Arabia and the United Arab Emirates, and indicated that they also secured a reimbursement agreement with NHS England, resulting in access to CASGEVY in England for eligible sickle cell disease and beta thalassemia patients. Additionally, the cell and gene therapy access model was highlighted by Vertex as a mechanism for states to voluntarily participate in CMS negotiated agreements for Medicaid patients. We believe that this model has the potential to expand patient access to cell and gene therapies over time, which we view as a positive for patients, CASGEVY and future therapies enabled by MaxCyte. Our teams work diligently to provide regulatory, scientific and technical support to our customers as they progress through the clinic, and we have become increasingly excited by the potential for multiple therapies to come to market beginning next year and beyond. In 2027 and 2028, we see an opportunity for eight potential approved programs for lymphoma, leukemia, sickle cell disease, and genetic disease indication. As we approach 2029 to 2031, we believe there's potential for an additional 12 approved programs with indication expansion to solid tumors, multiple myeloma, and autoimmune diseases. In our fourth wave of potential approvals in 2030 and beyond, we see potential for approvals within neurodegenerative disease indications as well. The opportunity for approved therapies within our current SPL portfolio is vast and growing as we continue to add new SPL customers. In summary, we are pleased with our 2024 results, driven by the execution of our global sales team, our differentiated technology and customer support, and our process improvements across the organization. We increased our operational focus while making strategic investments in areas of high growth, resulting in a year-end task position that exceeded our initial guidance. We look forward to continuing this momentum in 2025 and truly believe that our value proposition remains highly differentiated into durable relationships with current and prospective clients. Our investment strategy remains unchanged, in that we continue to focus on organic and inorganic investments that offer the best outcomes for our customers and MaxCyte, while preserving our healthy balance sheet. We are investing in the development of additional capabilities and products that our customers will need in the future, while simultaneously and carefully evaluating inorganic opportunities that we believe would benefit MaxCyte. We are committed to being diligent and disciplined in our approach to make decisions that position MaxCyte to become the premier comprehensive enabler of cell and gene therapies within the industry. With that, I will now turn the call over to Doug to discuss our financial results. Doug?
Doug Swirsky: Thank you, Maher. Total revenue for the full year was 38.6 million, compared to 41.3 million in 2023, representing a 6% decline. Total revenue in the fourth quarter of 2024 was 8.7 million, compared to 15.7 million in the fourth quarter of 2023, representing a 45% decline. Total revenue declined due to multiple accrual milestones received and recognized in the fourth quarter of 2023. In the fourth quarter of 2024, we reported Core revenue of 8.6 million, compared to 7.2 million in the comparable prior year quarter, representing an increase of 20%. Within Core revenue, Instrument revenue was 1.6 million, compared to 2.3 million in the fourth quarter of 2023. License revenue was 2.6 million, compared to 2.4 million in the fourth quarter of 2023. And processing assembly, or PA revenue, was 4.2 million, compared to 2.2 million in the fourth quarter of 2023. As Maher discussed earlier, our instrument revenue was impacted by difficult operating environment in 2024, which led to customer caution around capital equipment purchasing. We were pleased with our strong PA revenue, along with stable revenue from licenses, which we believe demonstrates strength in our revenue from clinical stage SPL customers. For the full year of 2024, we reported Core revenue of 32.5 million, compared to 29.8 million in 2023, representing an increase of 9%. Within our Core revenue, Instrument revenue was 7.1 million, compared to 8.3 million in 2023. License revenue totaled 10.3 million, compared to 10.3 million in 2023. And PA revenue totaled 14 million, compared to 10.3 million in 2023. Of note, 55% of our Core business revenue was derived from SPL customers in 2024, which compares to 48% in 2023. We believe that the percentage of Core business revenue from SPLs remains at a healthy level. The year-over-year increase can be attributed to more customers entering the clinic and continued execution on signing new SPL agreements. We recognized 0.1 million of SPL program-related revenue in the fourth quarter of 2024, compared to 8.5 million in the fourth quarter of 2023. For the full year, we recognized 6.1 million in SPL program-related revenue, as compared to 11.5 million in 2023, well ahead of our initial guidance provided early last year. SPL program-related revenue includes a small amount of revenue from CASGEVY in the second half of the year. Before I continue down the P&L, I would like to point out that we will no longer be disclosing Core revenue by cell therapy and drug discovery, but rather focusing on instruments, licenses, PAs, and other revenue as the components of our Core revenue disclosure. Internally, we focus on these components of revenue across customers to forecast, track, and understand our business performance, and this updated level of disclosure is more closely aligned with how we think about the planning of our business. Moving down the P&L, gross margin was 74% in the fourth quarter of 2024, compared to 90% in the fourth quarter of the prior year, excluding inventory provisions and SPL program-related revenue, non-GAAP adjusted gross margin was 84% in the fourth quarter of 2024, compared to non-GAAP adjusted gross margin of 86% in the fourth quarter of 2023. Total operating expenses for the fourth quarter of 2024 were 19.3 million, compared to 22.2 million in the fourth quarter of 2023. The overall decrease in operating expenses was primarily driven by operational changes made in 2024. As Maher discussed, the company plans to continue to make targeted and disciplined investments to drive long-term growth, which include investments in new products and product enhancements for our customers, our commercial sales team, and investments to scale security access. We ended 2024 with combined total cash and cash equivalents and investments of 190.3 million, and no debt. Moving to our initial 2025 guidance, we expect Core revenue growth of 8% to 15%, compared to 2024, inclusive of revenue from SeQure Dx, which we expect to be at least 2 million for the full year. We are not assuming a change in the current macroeconomic environment experienced by our customers within our guidance. We continue to remain in close discussions with our customers and how their needs might change throughout the year. MaxCyte navigated well through the continuation of a difficult operating environment in 2024, and we are very confident in our ability to commercially execute on our outlook for 2025. SPL program-related revenue is expected to be approximately 5 million in 2025, which includes both expected revenue from pre-commercial milestone payments and commercial royalties and sales-based payments. We will not break out the components of SPL program-related revenue due to confidentiality agreements with our customers. Additionally, we would like to note that our SPL program-related revenue outlook is a risk-adjusted forecast that is achievable under a variety of potential outcomes across our SPLs and planned clinical progress and commercial success of our customers. Finally, MaxCyte remains in a solid financial position and expects to end 2025 with approximately 160 million in cash, cash equivalents, and investments on our balance sheet. I'd like to close by stating that MaxCyte is well-positioned to deliver on our 2025 goals. We continue to remain dedicated to modest cash burn and operating as a streamlined organization to best support MaxCyte's long-term vision and growth outlook. Now I'll turn the call back over to Maher.
Maher Masoud: Thank you, Doug. We are proud of our progress thus far in 2025 and are in a great position to deliver high-quality support for our customers. I would like to thank our team at MaxCyte for their dedication to the company and our customers every day. With that, I will turn the call back over to the operator for the Q&A. Operator?
Operator: Certainly. And our first question for today comes from the line of Matt Larew from William Blair. Your question, please.
Matt Larew: Hi. Good afternoon. Wanted to ask on the guidance for the Core business by backout SeQure Dx. Looks like something around 9% growth. Just maybe get a sense for what that reflects in terms of end market dynamics as well as where it is versus where you expect kind of a normalized or longer-term growth for the Core business to be?
Maher Masoud: Yes. Matt, nice to hear you again and good talking. So let me take that for a second. I can turn over to Doug as needed as well. So we're still seeing continued growth across our customer base, both on the research side as well as the technical side. As we saw throughout '24, we saw increased PA usage as well, which is a very good sign that we talked about when we see that market recovery. And really, a lot of it has to do with the fact that we continue to believe the operational changes that we've made, the execution that we believe we can continue to make throughout the year should give us a year-over-year growth that we had in '24 versus '23 as well. So really, it's across the board, Matt. It's not in one particular area. It's just a great execution of the commercial team, scientific team, and organization as a whole to understand where the market's going and really have those precise call points that we were able to take on in '24 and continue that in '25. Doug, anything else to add there?
Doug Swirsky: Hi, Matt. Instruments did take down 2024 versus 2023. We see opportunities to start pulling that in the right direction. Obviously, PA sales were strong last year versus 2023, and so we expect or hope that will continue. That's built into our forecast, is looking at a run rate that is aligned with the rolling forecast or rolling experience on a pull-through basis and looking at our forecast for instruments. So I think as Maher mentioned, it's across the board. We expect to see some growth this year, but we're being a little bit conservative in the guidance.
Matt Larew: Okay, understood. And then on SeQure Dx, you mentioned $2 million included this year. Do you think it gives sense for sort of what the revenue track record is there, how much they have been growing, expanding customers? If there's any business model changes or bundling you're anticipating doing, I think that could be helpful in terms of framing how that's going to fit in and scale up throughout the year?
Maher Masoud: Yes, Matt. So great question. So SeQure Dx began commercializing really in '24 as their first full-year commercialization. So it's very early in the process. We see great growth for SeQure Dx. We're being fairly modest in our growth projections for them in '25 as well. Obviously, this is greater revenue this year than they had in '24, and we feel that we can continue to grow that. The business model that they have really is more services-based business model with a highly differentiated service that truly only they can do. There's not much competition there that can meet with their service capabilities and what I call soft IP that they're building around their assays, whether it's their GUIDE-seq assays or ONE-seq assays or their screening assays as well. So the business model really fits into what we do, which is highly scientific, highly differentiated, where we know and can work with developers to really ensure their timeline to the clinic is faster in a safer, more consistent manner. That's what SeQure Dx does. In essence, it's an extension of what MaxCyte has built our company around, but we feel confident in that two-plus number, it's at least $2 million, that we continue to grow it at a fairly fast rate based on their current infrastructure and then also integrating into them or them into us, into our commercial team as well. Anything else to add there, Doug?
Doug Swirsky: Yes, I just want to reiterate or sort of point you a little bit to the press release and what we saw in our comments. Core revenue is expected to grow 8% to 15%. That is inclusive of revenue from SeQure Dx, and we're sort of not breaking out specifically other than we think it's going to be at least $2 million, but how we get to that 8% to 15% growth rate and how much SeQure makes of that and how much of that is leases versus instruments versus processing assemblies. We're not breaking it down at this point in the year, but we'll obviously start to peel things back when we report in May.
Matt Larew: Okay. Thank you.
Doug Swirsky: Thanks, Matt.
Operator: Thank you. And our next question comes from the line of Julie Simmonds from Panmure Liberum. Your question, please.
Julie Simmonds: Hi. Yes. Just on SeQure again, I was just wondering how much in the way of costs are going to integrate into sort of MaxCyte as a whole, because I'm guessing in terms of sort of some of the basic infrastructure, you can take out some of the costs involved with that business fairly swiftly?
Maher Masoud: That's right, Julie. I mean, the cost to our continuing operating expenses is fairly immaterial. You know, we have the entire commercial infrastructure to support them. So it's immaterial cost and it's also part of our guidance in terms of what our end of year cash includes in SeQure Dx operating expenses. So we feel very confident that the addition of SeQure Dx can leverage what we've built here over the past few years, especially since our IPO, where the team that we've built can commercialize the assays for SeQure Dx with very immaterial operating expenses attributable to SeQure Dx.
Doug Swirsky: They have, obviously there's a cost structure associated with operating that line of business. There's a facility in Waltham and we'll be continuing to make some investments there, but it's not going to be a material part of our burn. And I think that in terms of their ability to contribute on a cash flow basis, we feel very optimistic that that can happen in relatively short order. One of the things we like about that business is one of the things we like about what we've done here is we've made investments that are extremely scalable. And so we look forward to, seeing growth really hit the bottom line eventually as we continue to see hopefully, return to some better conditions out there for our end users and then, continued execution of our plan. So I think, again, the leverageability of the cost structure we have here is significant.
Julie Simmonds: Excellent. Thank you. And just another one on sort of your exposure to the academic markets and NIH spending, because I know that has been an area where you've sold a reasonable amount of instrumentation in the past. I was just wondering whether you've noticed any change in that environment at the moment?
Doug Swirsky: Actually, it has been a somewhat insignificant part of our business in terms of where we can directly link it to a grant. So we don't think this is going to have a material impact in the short term. Obviously, we want to see continued robust investment in the cell and gene therapy. And, you know, that includes on the front end. And so, you know, long term, it could be challenging, but I don't expect to have an impact in the short term.
Maher Masoud: So, Doug, if you mentioned the exposure to NIH grants is really very, very minimal. So much so, we get the exact number. We're talking about $200,000 here. It's almost like it's really immaterial. If you look at Julie DeWood [ph], who built this organization and really everything we've done, has been focused on ensuring that we're working with those biotech companies and later stage companies that are getting ready for the clinic. So the exposure to NIH is immaterial at best.
Julie Simmonds: Excellent. That's very good news. And then just as far as the SPL environment is concerned, are you still seeing customers wanting to sign off at the similar sort of stage and that most of them are at the pre-IND level or are they looking at sort of any earlier sort of when they sign those agreements?
Maher Masoud: No, that's a great question, Julie. It's still at that pre-IND level. You know, as I mentioned on a previous call, we work with these customers oftentimes for a year before really going in there, showing our differentiated technology, showing our differentiated scientific support. And when they're close to that pre-IND, that's when they begin to have those negotiations with us. And we're so confident that we can guide to three to five a year. It's a sign of the health of our business. It's a sign of the health of our differentiated platform. But it's still on the same timeline, Julie.
Julie Simmonds: Brilliant. Thank you very much.
Doug Swirsky: We're on track. We've got one in the books and we're not going to be there in the first quarter.
Maher Masoud: That's right.
Operator: Thank you. And our next question comes from the line of Brendan Smith from TD Cowen. Your question, please.
Brendan Smith: Great. Thanks for taking the questions. Congrats on the progress, guys. Appreciate the color on the thinking that went into 2025 guidance. So maybe just kind of one more with respect to the SeQure integration. Can you just kind of maybe remind us a bit how we should think about kind of the combined company gross margins? Where you think those could go over the near and maybe a little bit longer term as that kind of gets ramped up there? And then any potential or even maybe likelier opportunities for upside to top line numbers that you would maybe call out for 2025? I know you're not necessarily baking in huge recovery just into the guidance itself. And then maybe I'll just have a follow up after that. Thanks.
Maher Masoud: Yes, I think what you're asking, Brendan, if I hear your question correctly, is the first question in terms of SeQure integration, how they can contribute, if I've heard you correctly, Brendan, how they can contribute to our guidance. Is that what you're getting at? Just to make sure I clarify your question.
Brendan Smith: So I think for SeQure, really just how we should think about kind of the combined gross margins there. And then separately, any potential opportunities for upside that you guys would want to call out just for this year specifically, independent of that?
Maher Masoud: Yes, so the combined gross margins, Doug, how do we weigh that?
Doug Swirsky: Yes, I mean, I think that without getting too granular here on what that cost structure looks like, because we're not breaking that out separately right now, we have healthy gross margins. We look at it, obviously, on an adjusted basis. We take out that SPL revenue, which comes in without any costs associated with that, as well as we've adjusted for any inventory provisions we've made. I think we're going to continue to enjoy high margins in the low to mid-80s, even with SeQure here or without.
Maher Masoud: That's exactly right. I mean, to your question on the combined, part of why SeQure really made sense in terms of integration is that healthy gross margins that they have. And exactly as Doug said, we feel confident in the foreseeable future, the combined gross margins will remain at the very, very healthy low to mid-80s gross margins. And then in terms of the question on the top line, is there an opportunity for us to exceed that 8% to 15% that we're guided to. Obviously, we got it here somewhat conservative. We have to ensure that there are, in case there are headwinds out there, as we know we're not completely impervious or we can untether ourselves from the overall global markets in terms of what we see there in the Biotech funding, but in terms of the health of our business assuming there's no further deterioration in the overall global markets, we've got a conservative guidance, if that makes sense.
Doug Swirsky: We're not really baking in any improvement or further deterioration in the market. There's obviously shades of gray in there. If you look at the range we're providing, it's probably a combination of how healthy the operating environment is sort of within the current context of it, as well as our ability to execute against the opportunities that are in front of us. I think when you start to look at potential coming out outside those ranges, it's probably going to be market independent and that could provide for further upside if we see some recovery there.
Brendan Smith: Okay. Great. Thanks, guys. Very helpful.
Doug Swirsky: Yes. Thanks, Brendan.
Operator: Thank you. And our next question comes from a line of Mark Massaro from BTIG. Your question, please.
Mark Massaro: Hi, guys. Thanks for taking the questions. So, I think the SeQure acquisition is pretty interesting in the sense that it broadens out your pipeline. I think beyond - you talked about both ex-vivo and in vivo, as well as viral and non-viral. Is there any way that you could share what, I think you talked about 201 cell and gene companies with 83, I think that may be opportunities for you. Can you just give us a sense of the overlap of customers between SeQure and MaxCyte prior and what the incremental opportunities you are leveraging SeQure product offerings?
Maher Masoud: Yes, great question, great question, Mark. I mean, obviously, the excitement I have for SeQure, I'm not so sure it's coming across me just yet. The opportunities are enormous in terms of SeQure provides to us that we talked about the viral and the non-viral programs. When you think about it for a second, we have 84 non-viral programs that we MaxCyte with our transfection platform can target. So, SeQure can also target those. But what SeQure also does is the entire clinical, the 449 programs as well, even non-viral programs, we now have an opportunity to begin to target. And then in terms of even a larger number here, we have three clinical programs of 383 programs, 193 of which are non-viral programs, which is what MaxCyte with our transfection platform targets. SeQure Dx can target the entire landscape. So, you're looking at 383 programs, pre-clinical, 249 programs clinical. It gives us a footprint in the entire cell and gene therapy space, whether it's viral or non-viral, to really showcase best-in-class solutions that we provide on the ex-vivo side, as well as best-in-class solutions on the SeQure Dx side for the entire landscape. So, you can tell the breadth that we have now. So, there's an overlap of the 84 programs that we currently now can target. That SeQure Dx gives us that ability to target through and then the additional 249 clinical and 383 pre-clinical programs as well in the entire in vivo, ex-vivo space.
Mark Massaro: Yes. That's very helpful. And then can you perhaps go into a little more detail about SeQure revenue opportunity? I guess what I'm really asking is, how do they monetize? I know it's a services company. So, is this like a fee-for-service or is this I'm just curious how the revenue gets recognized, if it's like a subscription, trying to figure out how lumpy it is as we think about going out a couple years?
Maher Masoud: Yes. So, right now, it's exactly what you said it's a fee-for-service with the opportunity for us, as we build them out and we take on that great potential that they have for us, there's opportunity to also, we're looking for a subscription-based model as well for certain parts of their asset, depending on the development timeline, whether it's early discovery or later in the clinical development. But right now, it's a fee-for-service with highly differentiated services for that fee. So, that's the basic model right now, Mark.
Mark Massaro: Okay. And I think I heard you guys, but just checking that the guidance for 2025 does not assume any change to the environment. And I think the environment is broad, but I just want to make sure you're assuming capital raising environment, macro environment, basically all potential risk factors at this time?
Doug Swirsky: Sure. So, we're obviously providing a range for revenue, and it's going to be made up of the various components. By the way, we think SeQure has significant growth opportunities. We're looking forward to seeing that business provide some growth opportunities. In terms of where we see this year, I just want to be clear, we're not counting on a recovery or the market changing significantly. However, when you look at that range, it's probably, in the current environment we're in, there are shades. So, think of it as if the light is yellow, there are shades of yellow, but if things go green or things go red, that probably falls outside the range. Of course, in addition to the fluctuations of where the market actually is, it's how we're going to execute on the opportunity. That's really where the range comes in. If I was modeling it out, I'd probably look towards the middle of that, but I think we're being conservative.
Mark Massaro: Sounds good. I will hop back in the queue.
Doug Swirsky: Thank you, Mark.
Operator: Thank you. [Operator Instructions]. Our next question comes from the line of Dan Arias from Stifel. Your question please.
Unidentified Analyst: Thanks for the question. This is Paul [ph] on for Dan. I guess just touching on the guide for core revenue, you talked about not baking in any improvement throughout the year, even though there is some upside there. As you said, you're cautiously optimistic that there will be better funding environment, but just in terms of not baking that in, how does that play into what the quarterly cadence is going to be from a guidance perspective? Can you just give us some color there?
Doug Swirsky: Yes. So, just to reiterate what the components are for revenue, obviously, secure is going to be part of that, but I don't expect lumpiness there. In terms of the breakdown between the license revenue, that's pretty stable. You can model that out throughout the year on an even basis. What we're doing in terms of the processing assemblies, we model that out. We're looking at a rolling run rate of pull-through across the installed base, and using that to model that out. We don't expect significant lumpiness there, although historically sometimes the third quarter is weaker than the fourth quarter. We do see that occasionally play out, although we don't consider our business one that's significantly seasonal, if you will. I think if there is a lumpy component to this, it's instruments, because that's where we're looking at that on specifically identified opportunities, identified and validated opportunities using historical conversion rates and coming up with estimates. I can't say that there's not differences between some quarters in that, but I don't think that we're prepared to break that down in terms of the guide at this time. I don't think it'll be significant, but I think if there's some lumpiness there, it'll probably be in instrument sales.
Unidentified Analyst: Okay. That's helpful. And then just the one follow-up is you talked about the conservatism in the guide for secure. And I think when the acquisition came out, you had said that the business transitioned over towards the service revenue. I think it was in March of 2024. Can you kind of touch on to what extent the growth this year is just kind of lapping that transition and getting that higher service revenue in the first quarter versus integration into your overall commercial infrastructure versus just kind of expansion of the business and penetrating more customer accounts?
Doug Swirsky: I think it's important to realize just how early that business is from the point of when they came out of stealth and were actually operating the business. I think that's part of that.
Maher Masoud: Yes, I think it's a good question, Paul, in the sense of right now we're going to that just based on the fact of the expansion of the business that they began to roll out last year. As we have more full integration of SeQure Dx into the MaxCyte commercial team throughout the year, we see even more expansion opportunities than they currently have. So that $2 million plus is really an expansion of what they did last year on the services side that's rolling into the Q1 of this year. And we feel confident as they begin to continue to integrate into our commercial team, we can expand their portfolio as well on the services business that they rolled out in 2024.
Unidentified Analyst: Great. Thanks for the questions. I'll jump back into the queue.
Operator: Thank you. And our next question comes from the line of Matt Hewitt from Craig-Hallum. Your question, please.
Matt Hewitt: Good afternoon. Thanks for taking the questions. Maybe first up on Secure, is the sales and marketing effort, has that been integrated yet or when do you anticipate that could occur?
Maher Masoud: It has, Matt. Good to hear your voice. It has been integrated actually from day one upon the acquisition roughly a little over a month ago. The marketing and sales integration has happened from day one. And we feel confident over the course of the year that integration from day one will begin to give us the traction and the exposure that SeQure Dx is offering. Obviously, there's more. There's more marketing that we do for SeQure Dx, really make sure that all the major conferences ensure that we have application notes that are highlighting their different, highly differentiated assays. But that integration happened from day one, Matt.
Matt Hewitt: Got it. And then maybe just kind of taking a step back on the macro, as you've had conversations over the past, call it three months, four months, have you noticed or heard any change in the conversations that you're having with customers? Obviously, there's been a lot of noise here over the past couple of weeks, tariffs, budget cuts, all that kind of stuff. But what are you hearing from customers? Has that changed at all or are they still feeling like it's steady as she goes and progressing?
Doug Swirsky: I mean, 55% of our revenue is from SPL customers. So there's things that are progressing through the clinic. And so it's been, for the most part, ordinary course of business, everything is chugging along there. When you look outside that, I think opinions vary. But where we are in the year here, we're two months and change into the 2025. And we're comfortable with the guidance we're providing based on where things are today, even with sort of a little bit of more headwinds than we probably expected earlier in the year.
Maher Masoud: Yes, let me add to that, Matt, as well. So obviously, last year, we saw that deprioritization of programs, but it's leveled off. So that's where we are now, where our customers' deprioritized programs had more focus on what programs they want taken to the clinic. That continues throughout the year. And now it's stabilized, as Doug has mentioned. I mean, obviously, is the macro environment the same as it was 9 days ago? Not the same. But in terms of our customer base, it's the same. We saw that deprioritization. We saw what we call that trough all the way through last year that's now stabilized. And that civilization has stayed all the way through the first quarter in terms of what we're seeing so far. So what we're seeing now is really execution of the current market where it is. And it's another year of returning back to growth as we did in 2024.
Matt Hewitt: That's great. Thank you very much.
Maher Masoud: Absolutely. Thank you, Matt.
Operator: Thank you. And this does conclude the question-and-answer session of today's program. I'd like to hand the program back to Maher for any further remarks.
Maher Masoud: Thank you, operator. And thank you, everyone, for joining us on today's call. We look forward to speaking to you again on our next earnings call in a few months. Thank you.
Operator: Thank you, ladies and gentlemen, for your participation in today's conference. This does conclude the program. You may now disconnect. Good day.